Operator: Good morning. This is the Chorus Call conference operator. Welcome, and thank you for joining the MPS Group Fourth Quarter and Full Year 2025 Preliminary Results Presentation. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Luigi Lovaglio, Chief Executive Officer and General Manager. Please go ahead, sir.
Luigi Lovaglio: Thank you. Good morning. Thank you for joining us for the presentation of our fourth quarter and full year 2025 financial results. Today is more than a quarterly presentation, it marks a milestone in our history. We are at the gateway to what Monte Paschi Group will become, decisive turning point that sets the direction of the group for the years to come. It is the first time we stand here as Monte Paschi plus Mediobanca, with consolidated results that speaks clearly and proudly about what we are accomplishing together. What truly matters today is that we now have a tangible evidence, not forecasts, not expectation, that Monte Paschi plus Mediobanca combination is grounded in a strong industrial rationale, strategic coherence and the strength to create lasting value for our clients, our people, our shareholder and for the entire economy as a whole. As Monte Paschi, we're presenting another quarter and full year of strong stand-alone results. Our business continues to perform solidly across all dimensions, particularly in fees and commission income, supported by robust commercial dynamics. We are offering one of the highest dividend yields in European banking currently standing at 10%. All these provides a solid foundation on which to build the future of the Monte Paschi Group, a leading competitive force in the banking landscape, thanks to the complementarity of the two platforms, Monte Paschi and Mediobanca, with a diversified, resilient and customer-driven business mix. We are accelerating the integration process with the bank moving towards a specialized [Technical Difficulty] business model that enhances the brand value, capabilities and talents of both organizations with Mediobanca's legal entity focused on corporate investment banking, high-end private banking activities, embracing a very ambitious and deserved path for growth and development. We confirm that our target group structure will be fully aligned with our industrial projects to maximize the value creation at the integration level. We will present our business plan for the combination with Mediobanca on February 27 as we are finalizing the guideline for the group's reorganization. This will allow us to build a powerful, profitable and sustainable business model. Our clients will experience a group that blends proximity with capability, heritage with innovation. As the integration progresses, these benefits will become increasingly visible. Together with Mediobanca, we have the earning power, capital strength and the balance sheet quality to invest in talent retention and development with dedicated program being designed and funded; client service excellence, leveraging combined capabilities as a broader product and service platform; growth initiatives, systematically pursuing customer coverage opportunities; technology investing to support all our businesses; sustained high shareholders' returns supported by strong earnings and capital generation. Turning now to the full year results, which underscore our ability to create sustainable value and deliver strong shareholders' return. Full year 2025 net profit of the new combined group amounted to EUR 3 billion before PPA's net income impact equal to around EUR 300 million. Full year 2025 Monte Paschi stand-alone profit at EUR 2.750 billion, up by 17.7%, higher than last year, excluding the positive net tax in both periods [Technical Difficulty].
Operator: Ladies and gentlemen, please hold the line. The conference will resume shortly. Thank you. Mr. Lovaglio, you can go ahead.
Luigi Lovaglio: Okay. Thank you. I'm just recalling the full year 2025 net profit of the new combined group at EUR 3 billion before PPA's net economic impact equal to EUR 300 million. Full year 2025 Monte Paschi stand-alone net profit at EUR 2.750 billion, up by 17.7% year-on-year, excluding the positive net tax in both periods. Results were driven by solid operating performance with resilient revenues sustained by growing fees and the effective management of both operating costs and cost of risk. Net profit in the last quarter reached EUR 1.384 billion, higher by 18.5% compared with the fourth quarter of 2024, excluding positive net tax. Focusing on our stand-alone results, our strong performance is reflected in the net operating profit, which amounted to EUR 1.860 billion in the 12 months, growing by 6.4% year-on-year with resilient revenue sustained by strong plus 8.2% increase in fee income, costs well under control, improved cost of risk. Significant contribution to the results came from the fourth quarter net operating profit that reached EUR 472 million. It was higher by 15.3% [Technical Difficulty] and plus 4.2% quarter on the quarter. Commercial performance remained very strong. Savings, inflows, mortgages and consumer finance all confirm the resilience and the power of our franchise. Regarding asset quality, cost of risk has been reduced to 40 bps from 53 bps in 2024. Gross NPE ratio at 3.5%, lower by 1 percentage point compared to last year. Net NPE ratio at 1.8%. NPE coverage reached 49.3% with an increase of 80 basis points year-on-year. Solid capital position at group level with core Tier 1 ratio at 16.2%, including the impact of Mediobanca transaction, net of dividend to be proposed to the coming Annual General Meeting. The dividend is equal to EUR 0.86 per share for a total amount above EUR 2.6 billion for a dividend yield of 10% at the top of the banking system. And now I would like to give a short update on the combination process with Mediobanca. The combination creates a new strong, powerful player in the banking sector, thanks to the complementarity of the two platforms, leveraging the strength of both Monte Paschi and Mediobanca. The target group structure is confirmed, fully aligned with the industrial rationale of the offer, aiming at maximize the value creation and achieve maximum integration in line with the regulatory requirements related to ECB authorization, with legal entity Mediobanca focused on corporate investment banking and private banking high level. The combination program is progressing at full speed with full involvement and alignment of both teams. Bottom-up analysis confirmed that outside-in estimate of EUR 700 million synergies are there, and I allow myself to say also with a potential upside. As anticipated, we will detail the corporate reorganization business plan and the updated targets at our Capital Market Day on February 27. We now move to the stand-alone results section. For comparability, this P&L and balance sheet figures do not include Mediobanca. Now just an explanation from the stand-alone to the combined group full year '25 net profit. We are describing the main components. The waterfall explain the, as I said, components for the full year '25 group profit reported at the level of EUR 2.7 billion. Monte Paschi's stand-alone pre-tax profit is EUR 1.7 billion, well above guidance. Fourth quarter Mediobanca pre-tax profit at EUR 376 million. With Mediobanca P&L consolidation, we completed the full write-up of off-balance sheet DTAs with the net positive contribution of taxes amounted to EUR 461 million (sic) [ EUR 961 million ] in the full year. With these three elements, we have reached EUR 3 billion net profit of the group. The slide also highlights PPA's economic impacts, including an ECL booking of Mediobanca's performing loans as customary under IFRS. Including these net effects, we have reported group net profit of EUR 2.716 billion. Now let's move on the usually discussed details of Monte Paschi's stand-alone results. As I have already mentioned, full year 2025 net profit of Monte Paschi stand-alone reached EUR 2.750 billion, up by 17.7% year-on-year, net of positive tax effects in both periods. These results were driven by a solid operating performance, thanks to resilient revenue, sustained by strong growth in fees, coupled with effective management of both operating cost and cost of risk. Fourth quarter contribution of EUR 1.384 billion, including positive net tax from DTA write-up following tax consolidation with Mediobanca. Net of that tax effect, Q4 '25 profit is up by 18.5% versus fourth quarter '24, with quarterly dynamics affected by nonoperating costs related to the transaction. Now moving on the next slide. The net operating profit confirms the strength of our underlining engine. Full year 2025 amounted to EUR 1.860 billion, up by 6.4% year-on-year. The net operating profit in the fourth quarter amounted to EUR 472 million, showing an increase of 15.3% compared to last year and 4.2% dynamics quarter-on-quarter, driven by strong fee income, solid base this quarter for a new strategic plan. Now let's move on to gross operating profit. We reached EUR 546 million in this quarter, up by 5.2% year-on-year and 2.8% quarter-on-quarter. Revenues increased by 2.4%, despite the impact of the decreasing interest rate environment, thanks again to strong fees, while costs remain well under control. Full year gross operating profit was EUR 2.189 billion, up by 1%, with the revenues supported by fees and net interest income stabilization. Operating costs are up only by 0.8% despite labor contract renewal. Full year cost/income remained stable at 46%. Commercial momentum remains a clear highlight and lays the foundation for the new business plan. Total commercial savings are EUR 178 billion, up by 6.5% year-on-year. Wealth Management gross inflow are EUR 17 billion, up by 17%. New retail mortgages are EUR 6 billion, up by 81% (sic) [ 83% ] and the new consumer finance are at the level of EUR 1.3 billion, up by 14%. Let's see now net interest income evolution. In the fourth quarter '25, net interest income is EUR 544 million, flat quarter-on-quarter, seeing a stabilization according to the guideline we gave in the last quarter. Full year '25 net interest income was at the level of EUR 2.182 billion, down by 7.4% year-on-year, in line with expectations. Now looking at the volumes, let's start with loans. Net customer loans to retail and small business reached practically EUR 66 billion, increasing by EUR 4 billion or plus 6.2% year-on-year. Growth is driven by strong commercial activity in key strategic segments, with important contribution also in Q4. Total commercial savings reached EUR 178 billion, up by more than EUR 10 billion since December 2024. The Q4 '25 contribution was around EUR 4 billion, again driven by all components. Quickly now about govies. The banking book stands at EUR 9.1 billion. Credit spread sensitivity of the Fair Value to OCI portfolio remains very low. The fair value through P&L decreased slightly quarter-on-quarter, reflecting market-making dynamics. Now let's move on to fees and commission income. Fees continue to be a key driver of our performance. Fourth quarter '25 fees are EUR 401 million, up by 7.4% year-on-year, driven by Wealth Management fees, up by 14.8%. Fee also increased by 4.9% quarter-on-quarter, with both Wealth Management and Commercial Banking contributing by 7% and 2%, respectively. Full year fees are at the level of EUR 1.586 billion, up by 8.2% year-on-year. Wealth Management and Advisory fees are up by 13.3% and Commercial Banking fees are up by 3.5%. Again, this is a confirmation how our network is powerful. Now let's move on to the operating costs, starting with the quarterly evolution. Q4 '25 operating costs are at the level of EUR 474 million, down by 0.6% year-on-year. Non-HR costs fell by 7.8% year-on-year, more than offsetting HR cost pressure from contract renewal and variable remuneration. Quarterly dynamics reflect typical fourth quarter seasonality. Full year operating costs are at the level of EUR 1.885 billion, up only by 0.8% year-on-year. Again, non-HR costs are down by 5.7%, offsetting HR costs up by 4.3%. Now let's move on asset quality. Asset quality continues to improve. Gross NPE stock down to EUR 2.9 billion, gross NPE ratio improved to 3.5% from 4.5% in December '24. Net NPE ratio is at 1.8% from 2.4%. Cost of risk is 57 bps (sic) [ 37 bps ] in Q4 and 40 bps for the full year '25, down from 53 bps in full year '24. NPE coverage is 49.3%, improving by 80 bps year-on-year. Now funding liquidity again is showing the strength of our balance sheet. We have a very solid liquidity position, confirmed also in this quarter with unencumbered counterbalancing capacity above EUR 30 billion, LCR at 168% and NSFR at the level of 133%. Now a quick and simple representation of the Purchase Price Allocation. So we are presenting here the main components. Provisional effects of PPA amount to approximately EUR 3.6 billion, of which EUR 2.5 billion have already been included in the third quarter 2025 results. Goodwill is estimated at the level of EUR 3 billion. The Purchase Price Allocation process will be continued, and it is expected to be finalized by the end of September 2026. Now capital. We have a very strong capital position, and this is confirmed also in this quarter with a common equity Tier 1 ratio fully loaded at the level of 16.2%, including net profit net of dividend proposed already reflecting the preliminary impact of the Mediobanca transaction. The capital ratios are therefore strong, with a large capital buffer compared to regulatory requirements that give us strategic flexibility going forward. The slide shows the main drivers of the quarterly dynamic and the conservative treatment of partial preliminary PPA effects. Now let me spend a few words on Mediobanca fourth quarter results. The fourth quarter, again, is a confirmation of the potential deriving from the combination. Net profit Mediobanca was at the level of EUR 301 million before one-offs and EUR 221 million reported for fair value adjustments and costs related to the OPS. Sound asset-driven business with total financial assets at the level of EUR 115 billion, stable quarter-on-quarter. Revenues are up by 6% quarter-on-quarter with fees rebounding plus 6%, driven by Wealth Management. Cost/income at the level of 47%, including retention action costs, and cost of risk is 55 bps. Core Tier 1 at the level of 16.4%. A dividend per share of EUR 0.63 is proposed to be paid in April. Now let's turn to the combined platform and the industrial rationale. This transaction has a very strong industrial rationale, a combined platform that are not overlapping but genuinely complementary. Monte Paschi brings unique retail and commercial banking franchise. Mediobanca contributes best-in-class capabilities in consumer finance, wealth, investment banking and asset management. Together, we create a structurally profitable and sustainable business model. The operating model is simple and industrially driven. We leverage scale where it matters while preserving specialization and excellence in each business line. In Retail & Consumer Finance, the logic is very clear. By combining Monte Paschi's nationwide reach with Compass' leadership in consumer finance, we built a market-leading platform with superior growth and returns. Wealth Management and Private Banking are a core value driver. Greater scale and stronger digital capabilities allow us to move up the value chain, attract high net worth clients and increased share of wallet. Asset gathering platforms and private banking franchises work together in a fully integrated model. Corporate and Investment Banking is significantly strengthened. We offer clients a solid balance sheet and unique advisory expertise in Italy. And also international through Messier Maris and Arma Partners. Insurance and asset management add stability and diversification. They reduce reliance on traditional banking revenues and improve the overall risk return profile. The result is a well-balanced, resilient growth, diversified across retail, corporate, wealth and insurance and well positioned to deliver sustainable value through the cycle. On pro forma basis, the group has a well-balanced revenue mix. Retail and Commercial Banking around 30%; Consumer finance 19%; asset gathering and management, 21%; 9%, SIB; and 14%, insurance. This is supported by a revenues base around EUR 8 billion. Now about the Combination Program. We are moving at full speed with the combination. Our objective is clear. We want to reach the target operating model by the end of this year, 2026. We have almost completed the design of a comprehensive and disciplined integration plan. It covers all key business functions with dedicated teams, strong leadership and clear accountability. The focus is on efficient execution while ensuring business continuity and minimal disruption. Phase 1 is now completed. We have finalized the diagnostic and the design of the target business model and operating model. We are now entering Phase 2. This phase is fully dedicated to complete the definition of the business target model and the corporate structure. The work done over the last few months give us strong confidence in the delivery of EUR 700 million of envisaged synergies. These synergies are concrete and actionable. We have identified more than 50 granular initiatives across business, cost and funding. The integration plan is almost finalized, fully aligned with the ECB requirement, with clear milestones already set for the coming weeks. Execution so far has been solid. Teams are working constructively. And this is the key message I want to underline. Synergies are not a promise. They are a program with initiative, milestone and accountabilities already in motion. Let me conclude with what really matters. The fundamentals of this group are already very strong. In full year '25, Monte Paschi on a stand-alone basis, delivered a pretax profit of EUR 1.7 billion, well above guidance. This is a result of outstanding commercial performance with strong volume growth, a high single-digit fee growth. And this momentum does not stop here. We expect these trends to continue into 2026, with an acceleration of commercial dynamics and solid growth in fees and commissions. On a pro forma basis, this trend will support a year-on-year increase in group profit before tax. At the same time, we have confirmed the target group structure, a structure fully aligned with industrial rationale of the offer designed to maximize integration and to maximize synergies. Mediobanca's legal entity will be focused on corporate and investment banking and high-end product banking, reinforcing clarity, specialization and value creation. But this is not just about numbers. This is about a new way of doing banking, a group where Mediobanca's client relationship is strengthening Monte Paschi lending engine, where excellent is not the sum of the part, but the multiplier, where client experience the full breadth of our capabilities with simplicity, confidence and trust, where two strong historic brands and franchises stand together as one group, broader, more powerful and more ambitious than ever. This is only the beginning of what Monte Paschi Group will become, a group we are shaping for the benefit of all our stakeholders, a group powered by almost EUR 3 billion in earnings, a robust balance sheet with 16.2% capital strength and by an integration, advancing with discipline, speed and purpose, guided by a clear organization blueprint. This will be fully unveiled on February 27, when we will present the business plan for Monte Paschi and Mediobanca combination. To our employees, our clients and our shareholders, [Foreign Language]. Your commitment, your confidence and your belief in this journey are the forces that make this transformation real. Our fundamentals are strong, our strategy is client-focused, our commitment and our ambitions are very high. Together, we are not simply combining two banks. We are shaping the leading competitive force for Italy, one that creates value, strengthen its talent and stands on solid foundation for our employees, for our clients and for the future. Thank you, and we are ready to take your questions.
Operator: [Operator Instructions] The first question is from the conference call in English from Antonio Reale, Bank of America.
Antonio Reale: [Technical Difficulty]
Operator: Mr. Reale, we cannot hear you. Can you get closer to the receiver, please? Mr. Reale, we cannot hear you. Maybe your line is on mute. Please check your microphone, please.
Antonio Reale: [Technical Difficulty]
Operator: The next question is from Giovanni Razzoli, Deutsche Bank.
Giovanni Razzoli: The first one is on the CET1 ratio. If I'm not mistaken, the 16.2% includes only EUR 40 million of restructuring cost out of a total of EUR 600 million. And so my question is, can you still confirm above 16% CET1 ratio in the coming years when all the restructuring costs will be booked? And another question on the restructuring cost is relating to the phasing of those costs in the coming years. How does this phasing of restructuring cost aligns with the proposal of dividend per share of EUR 0.86, which I presume represent a starting point for the plan? So in other words, how can you expect to confirm, if any, this EUR 0.86 of dividend in the coming years when you are likely recorded restructuring cost? I understand that this is a kind of anticipation to the business plan, but if you can help us understanding how this square with the overall picture of this CET1 and dividend.
Andrea Maffezzoni: On your questions, actually, the integration cost, based on the latest estimates, are expected to be for the next year is around still EUR 500 million gross. So the net amount is around EUR 350 million. So if you even factored them in the capital ratio, would still be around 16%. Then you have to take into consideration that the booking of the integration cost is strictly related to the announcement of the plan projections, so on the plan targets and initiatives. So this is why will happen for the bulk in 2026. For your last question on capital projections, state what I said on the impact of integration costs per se, I would, let's say, postpone the answer to when we present the business plan, which is, I would say, let me anticipate that this is -- this statement is valid for most of the forward-looking questions that we will tackle when we present the business plan on the 27th of February.
Operator: The next question is from Luis Manuel Grillo Pratas, Autonomous.
Luis Pratas: You comment on the presentation that you want the full integration of the two banks. I wanted to ask you, what is the ideal corporate structure for you? Is it a scenario where you delist Mediobanca, owning 100%, but then you spinoff a specialized entity for CIB and private banking? I'm asking this because for weeks, there has been a lot of speculation on the press about alternative routes such as refloating Mediobanca, keeping it listed. So any color here would be very much appreciated. And then I wanted to ask you about the NII in Q4 stand-alone. It came flat, whereas peers showed already some growth in Q4 '25. If I look at individual drivers, loan volumes came 1% higher Q-on-Q. The customer spread also expanded a few basis points to 2.8%. So I wanted to understand the flattish Q4 figure, if there were like any one-offs there and whether you could provide any guidance for NII in 2026 stand-alone, please?
Luigi Lovaglio: Okay. Thank you. Thank you for the question. I think Andrea make preliminary statement that clearly, most of the information regarding key elements, P&L and projection will be provided in 15 days with the presentation of the business plan. Having said that, I can just really confirm that we are focused regarding the structure and reorganization, we are focused on value creation. And in order to do it, we need to maximize the level of industrial synergies to be achieved. That's why we are confirming that the organization of the group should respond to this objective. The guideline will be finalized together with Mediobanca in the coming weeks, with the aim of reaching the final approval of the integration industrial plan by February 26. So I believe as -- no decisions will be taken at the Board yet. I really ask to be patient and to wait for the presentation of the business plan in the next 15 days. About net interest income, I will ask Andrea.
Andrea Maffezzoni: Yes, about net interest income. As mentioned also in our previous calls, starting from Q4, has actually happened, we expect a stabilization and then a pickup -- a slight pickup in the next few quarters in 2026. In the fourth quarter '25, yes, we have some benefits on wholesale cost of funding. And also on commercial NII, there are actually, yes, some accounting one-off impacts that led to the stable NII. But let's say, the trend is expected to be a stable/positive one in '26.
Luis Pratas: Can I just do a very quick follow-up? So in the scenario where you delist Mediobanca via major bank corporation, I would like to ask how the buyout price, the exchange ratio is defined? Do you need to pay the same exchange ratio that you paid during the offer, so 2.533? Or can it be a different price, for instance, considering where Mediobanca trades compared to the offer?
Luigi Lovaglio: Whatever I'm saying will be price sensitive. So I think it's better if we postpone the right timing. Sorry for that.
Operator: The next question is from Noemi Peruch, Morgan Stanley.
Noemi Peruch: The first one is on tax rate. Which tax rate would you expect for 2026 for the group? And then if you could please update us on the trends of private bankers year-to-date, whether the exits have stopped or not? My third question is on the payment of an interim dividend in 2026. If you can share your thoughts on this?
Luigi Lovaglio: Okay. Take the answer, right. Okay. Tax rate will be around 30% -- 29%, 30%, I believe, clearly in line with what we planned originally in our projection for the OPS. Then I think regarding Mediobanca private bankers, right? I believe that some necessary actions have already been taken to retain talented bankers, that I believe are crucial for the business origination and growth. I know the new effort will be put in place in order to be even more effective. Honestly, we believe that the situation is something that we can consider absolutely under control. And I'm sure that the top management of Mediobanca will ensure prompt action in order even to invert this kind of trend. So as far as dividend, I believe, as Andrea was mentioning, it's better if we disclose all the necessary information in the next presentation of the business plan 2 weeks from now.
Operator: The next question is from Hugo Cruz, KBW.
Hugo Moniz Marques Da Cruz: I have a few questions. So the PPA, the full process will be completed by September. Should we expect any further impact on capital from finalizing this process? Perhaps it's something you can answer without kind of going into the business plan. And then ideally, if you could give guidance on PPA charge for future years, the annual recurring charge? But so that's one question. Second question, MREL. Can you confirm if the plan is still to keep the combined entity as a single point of entry? And the third question on ECB funding, you're still 7% of liabilities. Can you remind us of the cost of this funding and if you can replace it with cheaper funding?
Andrea Maffezzoni: So thank you for your questions. So on the first question, what actually remains to be done with regard to the PPA is mainly related to the valuation of intangibles like brands, customer relationships, et cetera. So we would not expect any material impact on capital. The relevant things to be assessed were done end of this year. As regards the PPA charge going forward, then it depends on the amortization schedule of the different asset liabilities. But let's say, on average, you can assume around EUR 100 million per year for an average 10 years, then it will depend on the actual amortization of the different items. As regards the question on MREL, yes, we definitely still plan, stated that formally the decision is not on us, is on the SRB, but anyway that the group will be managed via a single point of entry approach, and this is also relevant for funding synergies. So definitely, this is still an objective. Finally, the ECB funding, yes, I mean, as we further accelerate on our commercial deposits, yes, we will be able to replace the remaining ECB funding potential with cheaper cost of fund.
Operator: Next question is from Andrea Lisi, Equita.
Andrea Lisi: The first one is on fees, particularly on wealth management fees that made really well in the last quarter. Just to understand and for comparison of the contribution of performance fees in the fourth quarter '25 and in the fourth quarter '24. Then I want to ask you if clearly, I mean, that this will be said clearly that in the plan but if the target of EUR 700 million synergies would be realized also without a delisting of Mediobanca? And in case of full integration of Mediobanca with Monte, that's just from a regulatory standpoint and time frame, can you identify or clarify which are clearly the steps and the time frame to arrive at the full integration?
Andrea Maffezzoni: Maybe let me before letting the CEO comment on the commercial performance in wealth management fees, maybe just make a quick preamble that I think is relevant for the interpretation of our performance that was particularly good on fees. I would refer you to Slide 39. So it is in annex of our presentation where you see the recast of Mediobanca P&L on the basis of Monte Paschi reclassified P&L. This is relevant because if you compare the fee number, you can see that the number under our classification is lower than the one that you will find in the Mediobanca presentation because there are some reclassification to other items like cost, for example. So this is relevant for your future projections and also to compare with your previous target. So this is the first point. Second point, you have to take into consideration is instead when you consolidate, then part of the banking fees of Monte Paschi, so which are the upfront fees that we get on Compass -- on the distribution of Compass products, which is, say, around EUR 10 million this quarter, slightly less, these are elated because these are accrued in the future years. So you have to take into consideration these two items to better interpret the fee performance that is much better compared to whether you simply add the two -- the fees of the presentation of Monte Paschi stand-alone and Mediobanca stand-alone as it was shown yesterday. So you have to refer to our Slide 39 to interpret the future. So sorry for the long preamble, but I think it's relevant for your future projections, but also to interpret our quarterly results. And then I'll let the CEO comment on the commercial performance.
Luigi Lovaglio: Okay. Let's start from the key information that we are providing with these results. So as we said, 1/3 of total revenues are coming from asset gathering. That's why it's quite important for us to exploit the potential of full synergies that we can come from the combination of Mediobanca plus Monte Paschi. Now having said that, clearly, on the side of private banking, high level, this kind of activity will be clearly concentrated the focused in Mediobanca legal entity with the strong brands that they have, with the strong professional people there and the long-lasting experience and the position that they have on in the market. If I remember well, recently, they got also a special reward and the money as the best private banker activity in Italy, right? So this is, again, a plus that we believe can further be developed by sharing their know-how also to the bulk of customer -- of private banking customer we have in Monte Paschi. Having said that, it's clearly that as we were seeing in the documents of our public offer, it's clear that you will extract maximum level of synergies by optimizing the full integration. But anyway, also without a full integration, we can get synergies. It's clear that the goal is to generate the maximum level of synergies and value for our stakeholder. That's why we are in the process to finalize the best structure that can fit with this goal, and we provide to the market a complete set of information during the business plan presentation.
Operator: The next question is from Antonio Reale, Bank of America.
Antonio Reale: I'm going to try again. Sorry about earlier. It's Antonio from Bank of America. Two questions from my side. Some of them have been addressed already, but I'm going to ask you a market question. Ex dividend, Monte Paschi is trading now on EUR 8 on my screen. And I think you said not long ago on previous occasions that you think the shares are undervalued. Now I think you still believe that, and that probably makes two of us. My question is how can you convince the market that it's wrong on Monte dei Paschi? What do you think the market is getting wrong? That's my first question. My second one is, can you help us frame the moving parts from here on sort of what's affecting your capital going forward, both positively and negatively? I know you've talked about PPAs, but sort of DTAs restructuring charge. Trying to get a sense of the magnitude of your excess capital here. You might have already answered this, but sort of is staying above 16% a target also in the outer years?
Luigi Lovaglio: I think what is important and normally is what we're trying to do is to convince the market with the results. We are keeping deliver sustainable, continuously growing results in what is the part that is showing the sustainability of these results is the fees and commission. We are one of the most powerful network in Italy. And this is proven by this capability to keeping growing high-quality streams of revenues that are presented by wealth management product and fees related to this kind of business. We are a bank that is providing -- the group will be capable to provide one of the highest dividend yield. We have a strong position of capital, thanks also, as we were mentioning, the write-up of DTAs, we can count on additional support to the core Tier 1 of around EUR 500 million per year for the next 6 years. So we have capital. We can give evidence of capability to provide high remuneration while keeping a strong position, and keeping a strong position of capital will give us the opportunity to exploit and capture all the opportunity that will come to the market to further enlarge our business scope and to further have possibility to reward our shareholders. So I'm sure that the market will recognize the work that we are doing, the quality of our results, and we will see the appreciation of our evaluation, that I agree with you, is absolutely underestimated today.
Andrea Maffezzoni: On -- Antonio, on the capital moving parts, let's say, in qualitative terms, you have the business evolution. So the net income relevant RWAs growth or anyway, movements that are relevant to produce that P&L. We mentioned that the one-off integration costs that are around -- expected to be around EUR 500 million gross of tax. We mentioned the PPA charge for the next 10 years. The CEO has just mentioned the EUR 500 million for the next 6 years on average, positive contribution from the DTA utilization and then you will have the dividend roughly. So these are the moving parts. Then, of course, it depends on the relevant projections on which we will comment on the 27th of February.
Operator: The next question is from Hugo Cruz, KBW.
Hugo Moniz Marques Da Cruz: Sorry, I just wanted to follow up because you mentioned the integration charges, but how -- what split should we assume between Mediobanca stand-alone and Monte Paschi stand-alone for those charges?
Andrea Maffezzoni: Actually, this is a second level details question. So let us answer on the 27 of February. So I should go too much into detail now to answer this question, so that would be ahead of our business plan presentation, sorry.
Operator: The next question is the follow-up from Luis Manuel Grillo Pratas, Autonomous.
Luis Pratas: Just a quick follow-up. You mentioned the retention policy at Mediobanca. Can you give us any color on the expected cost of this policy? And like any early evidence that is working, essentially stopping the exit of private bankers?
Luigi Lovaglio: As I mentioned, Mediobanca was already put in place some actions of retention. I believe that at the current stage, there are not a significant level of expenses. That's why we count on a broader action in order to retain the talented people that currently is in Mediobanca. That's why I think a component of this cost will be considering among the split that we are going to provide in the business plan. So it's better not to anticipate out of the context that we are going to explain in connection also with the expectation of growing and further potential private banker to join Mediobanca as well.
Operator: Mr. Lovaglio, there are no more questions registered at this time. I turn the conference back to you for any closing remarks.
Luigi Lovaglio: So thank you very much. I think we fixed this important date that is this investor day that we are going to have on 26 (sic) [ 27 ]. So it will be a pleasure to answer all your question, I apologize, if today, we postponed some answer. But I'm sure you will also appreciate what we are going to disclose because this project that we are going to represent a full business plan to the plan of integration is one of the most attractive projects for the banking sector and opportunity to reward our stakeholders, and you will see that what we are going to present will be fully answering -- responding to this high level of targets we fixed to ourselves. Thank you very much, and see you in 2 weeks from now.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.